Michael Marks: Good afternoon, everyone, and thank you for joining us for our First Quarter 2022 Earnings Call. Joining me for today’s discussion are William Wang, our Founder and CEO; and Adam Townsend, our CFO. Also joining us for the Q&A portion of today’s call is Michael O’Donnell, our Chief Revenue and Strategic Growth Officer. Please note that in addition to our earnings release and today’s remarks, a slide presentation can be found on our Investor Relations website at investors.vizio.com. I’ll refer you to the second slide in the presentation and remind you that certain statements made on this call are forward-looking statements that involve risks and uncertainties. These risks and uncertainties that could cause actual results to differ materially from these forward-looking statements are discussed in more detail in our filings with the SEC and our press release that was issued this afternoon. We undertake no obligation to revise any statements to reflect changes that occur after this call. During the call, we also refer to non-GAAP financial measures, including adjusted EBITDA. Reconciliations with the most comparable GAAP measures for non-GAAP financial information discussed on this call can be found in our earnings release or in the Investors section of our website. Note that all quarterly comparisons in today’s remarks will be made on a year-over-year basis unless otherwise specified. Now, I will turn the call over to William.
William Wang: Thank you, Michael, and hello everyone. Thank you for joining us today. This is about 2022 off to a great start with a high margin Platform Plus revenue growing 97% year-over-year in Q1, a streaming service type attention and consumers navigate an ocean of content options, the promotion and search for quality programs is happening on Vizio home screens. The more time consumers spend serving between apps, fast channels and our own and operated services such as WatchFree+ the more central Vizio becomes to the consumer content journey. To put another way, our platform is like the mall of America, a one stop shop where consumers can find the latest and hottest from brands that they love, whether roaming through SVOD or AVOD features or series season premieres were all episode that full traffic may migrate from store to store but the journey is brought to you by Vizio. And the Platform Plus business continue to benefit from this dynamic again in Q1. With overall advertising revenue seeing a year-over-year increase of 116%, it’s Vizio ads platform has grown into a mock app for brand and entertainment marketers who have seen the number of the right advertising clients grow. And the average revenue for advertising client increase. That success is powered by the growth of fruitful client revenue shifts across key advertising categories, including automotive, CPG, media and entertainment, insurance, and others. Our investment in innovation continues to play a critical role in platform plus revenue growth, a proprietary household connect product launched in April 2021 has driven a significant year-over-year increase in off platform revenue. And in March, we announced a new feature called jump view. This capability bridges the gap between linear and shrink content consumption. The huge [indiscernible] for consumers as they navigate their content favorites. With jump view, our major network partners can allow a consumer to jump from linear episode of a program straight into additional episodes in your streaming environment. For example, my wife is a big Dateline fan. Now she can jump from episode on CNBC to bridge more episodes on Peacock. She want to keep joining Dateline. This capability is a viewing win for consumers and a promotional win for our network partners. And as I mentioned many times before, this is just the tip of the iceberg for Vizio’s monetizeable innovation on hardware and software platform. We combine innovation with even more content, the consumer experience keeps getting better, enhance them to the video integrated entertainment platform, including the addition of more premium apps, such as screen TV and Amazon Music. And our WatchFree+ service has grown to more than 250 free channels. The expansion of our studio partnership has grown to 26, adding 1,000 new on-demand titles to our WatchFree+ AVOD catalog during Q1. In addition, our first party data is a core component of innovation and content enhancements, and it’s used to power better content experiences and more relevant advertising for consumers. Beyond the increased value that Vizio data brings to our own operator services, it is also fueling the ongoing evolution and modernization of the measurement landscape. Two weeks ago, we announced a multi-year partnership with Nielsen, the de facto currency provider in the television industry for the last half century. Nielsen has selected our Inscape data to power their measurement capabilities, and now growth our list of such partners to seven of the top eight in the U.S. This agreement further validates the Inscape data is the essential fuel for the measurement market. And demonstrates that the persistent investment were made in data during the last seven years is paying off. “If we build it, they will come”, has been my innovation mantra for 20 years. And Inscape momentum is part to the proof of the operating philosophy. I like to thank our measurement partners for their continued phase. And most importantly, my teammate for their relentless effort to our building best-in-class ACR technology. Thanks to our, your dual revenue business model. Q1 saw 23% increase in TV shipments versus pre-pandemic Q1 2019 levels. Our Device business also achieved multiple Q1 wins. You will recall that during our last call, we referenced the implementation of an aggressive pricing strategy across select models. I’m pleased to report that this strategy has paid off in Q1, with our 50-inch V Series being the number one selling 4K TV in America. With this success in hand, we have more to come. We intent to implement additional efforts to deliver great value to consumers and grow our TV market share. In addition, shipments for a heavily engaged 43- to 58-inch models increased 40%. And Vizio was the number one TV brand in shelf space at Walmart and Target. I’m also pleased to say that Vizio was the number two bestselling smart TV brand in the U.S. during March. On the heels of our market share momentum we’re excited to launch a new collection of TVs and soundbars in the coming months. With a handful of Stevie Awards [ph] already in hand, our 2022 collection will feature robust technology and design enhancements that will make the entertainment experience more enjoyable. With Vizio devices mean the entertainment centerpiece in millions of American homes, we also have a history of outstanding customer service. That tradition continues in Q1, with Vizio being the recipient of five Stevie Awards. The Stevies recognize excellence in customer service and Vizio has been a perennial leader in the space. These five awards bring our Stevie awards total to 111 over the last decade. Vizio takes great pride in our focus on the consumer. I want to thank our customer service team based in South Dakota, the heartland of America for this accomplishment. We were also honored with the 2021 Sustainable Materials Management Gold Tier distinction from the U.S. Environmental Protection Agency. The sixth straight year, the sustainable practices have been honored. The EPS Gold Tier award is presented to organizations with exemplary electronic selection and recycling programs. I’m very proud that Vizio is a leader in sustainability I proud of the team for this recognition. But consumers continue to seek our value in both their consumer electronics and content purchases. We believe that Vizio is prime to let us not only our dual revenue model, our history of quality, affordability and innovation to own a preferred place in the heart and homes of consumers. In our 20th year of delivering incredible value with affordable quality devices, we also bring the entirety of the entertainment experience to millions of homes. Six years ago, we foresaw the strategic value in owning and operating the combined hardware and software experience. It seems like the market has taken notice. While we might view new interest as competition it is also validation of our strategic vision and consumers benefit from our approach on a daily basis, because viewers navigate on the ocean of content options, we are proud to know that millions will be utilizing Vizio screens and innovations to do it. With that, I will now turn that over to Adam to speak to Q1 results in more detail.
Adam Townsend: Thanks, William. Before opening the call to questions, I’ll take you through our quarterly financial highlights and discuss our outlook for Q2. Starting with the first quarter, total company revenue came in at $485 million platform. Platform+ revenue was up 97% to $103 million. Platform+ growth was driven by advertising revenue, which grew 116% to $76 million. Our direct advertising client relationships grew by 80% and the average revenue per advertising client rose by 65% during the quarter. We were incredibly pleased to see an acceleration in the advertising growth rate over the fourth quarter growth rate, particularly considering typical seasonal trends. In addition, this first quarter marked our ninth consecutive quarter of triple-digit ad revenue growth. We continue to see strength in our advertising business as we further expand our client relationships across multiple categories and increase their average spend on our platform. We are also making great strides in growing our off-device monetization led by our Household Connect product. Off-device advertising revenue grew by over 200% year-over-year, driven by strength in Household Connect. And it represents a significant long-term opportunity to generate additional advertising monetization beyond our TV install base. Our non-advertising revenue, which includes data licensing, branded buttons and content distribution fees also performed well during the quarter, up 57% year-over-year. As we indicated on our last call, we expect to see a resurgence in non-advertising revenue growth in 2022, led by our highly valuable viewership data. This data has become the backbone of TV viewership measurement across both linear and CTV and is in high demand from TV measurement companies, adtech firms, ad agencies and networks. Contract renewals, new deals and expanded deals such as our recently announced agreement with Nielsen will continue to fuel steady growth in our overall non-advertising revenue growth going forward. Turning to our device segment. Total revenue was $383 million down, 16% on fewer TV unit shipments and lower average unit price compared to the year ago period, which was still elevated by COVID dynamics. In Q1, we shipped 1.4 million TV units, and while it was expected, this was down compared to the pandemic elevated Q1 of 2021. It was 14% and 23% higher than the pre-pandemic first quarters of 2020 and 2019 respectively. The point being we know demand was elevated by the stay at home orders and government stimulus programs during much of 2020 and into early 2021. But if you look at the longer term trajectory, we have seen a nice overall growth trend and the difficult year-over-year pandemic related comparisons will begin to ease from this point forward as we lap the inventory constraints and the expiration of several government assistance programs last year. So given our now healthy channel inventory levels and our strong retail partnerships, we are increasingly confident in our ability to grow our TV unit shipment volumes this year, over last year, even against expectations of a decline in the overall domestic TV market. Turning to gross profit, total company gross profit was $73 million for the quarter. Platform+ gross profit was $65 million or about 89% of the total and up 69% year-over-year. Device gross profit came in at $8 million while our strategy has been to be more competitive with certain promotion pricing. And this has resulted in slightly lower than average device margins. We continue to acquire active accounts for our Platform+ business at a positive gross profit. Given the significant ARPU growth we have already achieved. And the continued upside we see ahead, we believe our device strategy serves as an economically favorable growth driver for our Platform+ business. Total company adjusted EBITDA for the quarter was $4 million, slightly ahead of our expectations and down from $40 million a year ago. I would like to take a minute to provide some further specifics to help put this year-over-year decline into context. The change versus Q1 2021 is the net effect of four factors. First, device margins coming down from the previously elevated levels during the pandemic period, an additional strategic investment we have made to strengthen our competitiveness in the market. Second, $9 million in higher marketing spend to help drive device sales. Third, higher SG&A due to investments in our engineering and software development teams to build future monetization features and opportunities as well as certain corporate functions needed now that we are a public company. Finally, these three headwinds were partially offset by growth in our Platform+ results. Looking forward, we expect to see the impact of these factors begin to moderate as we scale the business and benefit from further growth. As a result, we expect adjusted EBITDA to improve throughout the year. We continue to maintain a strong, highly liquid balance sheet with no debt and significant flexibility to invest for future growth. Now turning to our key performance metrics, our Q1 results continue to highlight the growing success we are experiencing in driving overall monetization across our platform. ARPU growth this quarter accelerated to a record $23.68, up 64% over the year ago period, benefiting from growth in home screen monetization, growth in video advertising revenue, particularly within WatchFree+ and growth in data licensing revenue driven by several contract renewals at higher rates. We are pleased with the success we’ve achieved to monetizing our platform in a short period. And we continue to see significant upside from here as we launch new features and gain further traction in the marketplace. Total VIZIO Hours grew 18% to 8.2 billion and SmartCast Hours grew 14% to 4.1 billion, exceeding 4 billion hours in a quarter for the very first time. While we continue to see solid overall growth in our total hours and SmartCast Hours, as we have said before, where those hours are spent is particularly important to our modernization opportunities. To that point, we are pleased by a trend we have seen over the past six months where growth and time spent on WatchFree+ has significantly outpaced overall time spent on our platform. This has helped fuel our growth in video advertising revenue. SmartCast monthly active accounts grew just over 500,000 to 15.6 million. So now let me turn to what we expect to see for the second quarter. We expect Platform+ revenue to be between $107 million and $111 million with strong contributions for both advertising and data licensing. We expect Platform Plus gross profit to be between $66 million and $69 million implying continued strong margins over 60% at the midpoint of these ranges. From a total company perspective, we expect adjusted EBITDA to be in the range of $3 million to $7 million. We also expect to see significant increase from this level in Q3 and Q4. So overall, Q1 was a great demonstration of the strengths and benefits of our dual revenue model. Our monetization capabilities continued to expand as we execute on existing market opportunities and tap into new opportunities through product innovations all while delivering to consumers an exceptional user experience at a tremendous value. With that, let’s open the call up to questions. Operator?
Operator: Thank you. [Operator Instructions]
Michael Marks: Operator, will take the first question.
Operator: Thank you. We’ll take our first question today from Jim Goss of Barrington. Jim, over to you.
Jim Goss: Okay. Thank you. I’d like to ask first the 50-inch V-Series TV, that was number one 4K set sold. Can you talk about what the share of total TV revenue – TV set revenues that represented and is that the principle reason for the drop in device gross profit to $8 million from $48 million? And I’ll have my one follow-up.
Adam Townsend: Hey Jim, no. So first of all, the decline in gross profit is part of our broader strategy of becoming more competitive in the marketplace as we come into this year. The V-Series is an example of us – of a tactic we deployed to achieve that, that competitiveness. So we priced that in the market to be very aggressive. It quickly gained share. It served into the March timeframe and pushed up our market share over the course of the quarter. So it’s a tactic that really proved itself. More broadly, remember a year ago, the gross profit was elevated due to the pandemic dynamics. It was a period of time when there was enormous demand, there was a challenge supply in the marketplace. You didn’t need a discount or overly market product. And so it actually generated above normal growth profit in our device business. Year-on-year, we’re now normalizing down to what would – I would’ve imagined to be more of a regular gross profit margin. And then on top of that, we have strategically moved like the example on the 50-inch to be even more competitive and push those margins down into the low-single digit level. At that level, as I said in the prepared remarks, it allows us to drive growth competitiveness in the marketplace that then feeds our platform plus business. So we’re going to look for other opportunities on other skews that may fit this same strategy in the months ahead and see if we can continue to move the needle. We really prove ourselves by gaining market share throughout the quarter. We ended March in the number two market share position in TV and that’s really a great evidence point of the strategy.
Jim Goss: Okay. And the other question was, is there a room for say, joint venture with some other smart TV sellers that is map as aggressive or innovative as you have that could extend the platform and perhaps help both of you?
William Wang: No, not at this time. We’re not really working with other smart TV manufacturer to license our platform OS if that’s the question, yes. Adam?
Jim Goss: Yes. It’s not – it’s the objective is the platform. Okay. Thank you.
Adam Townsend: Thanks, Jim.
Michael Marks: Operator, we’ll take the next question.
Operator: Of course. Thank you. Your next question comes from the line of Jason Kreyer of Craig-Hallum. Jason, the floor is yours.
Jason Kreyer: Great. Thanks for taking my questions. First one just on Jump View, curious if you’ve seen traction beyond the Fox relationship. And then any color on the user experience that you’ve seen so far just in terms of utilization or how customers are adopting that pivot over to streaming.
Adam Townsend: Yes, I’ll take that. I think one, I think we’re pretty excited about Jump View because it showcases really the benefits of that integrated system we have, right? Hardware, software, all the data flowing through, it gives us the opportunity to create some really cool consumer experiences. As in Jump View, which allows them to seamlessly – consumers can seamlessly jump between linear and streaming environment regardless of HDMI input. So in terms of the launch partnership with Fox went really well, that was the beta in the marketplace. It’s now a good opportunity for us to continue to push. There’s been significant demand for it from specifically from the media and entertainment community. And we think it opens up not only opportunities for media entertainment, but also the opportunity to expand into additional categories.
Jason Kreyer: Perfect. And then maybe a follow-up, on the analytics side, that was a key component of your new front presentation a couple weeks ago. Just curious that the key components that draw – that drove the good results in the quarter. And then any takeaways that you’ve had from the new front presentation where you really focus that off-platform capability.
Adam Townsend: Yes. Look in terms of what are the key growth drivers for us this quarter. It can continues to be surrounding WatchFree+, obviously we continue to invest and support WatchFree+ we’ve seen significant growth. We’ve made a lot of innovations to it. If you think about it three quarters ago, we went through a complete redesign, right where we took over the user experience, now controlled all the content. Q4, we added on demand content with deals with all the major studios that was a big benefit to consumers and to the advertisers. And then we continued to add to it in Q1 with expansion of our Vizio features. And if you look at those Vizio features specifically Fork & Flight and VIZIO Investigation, we’re seeing viewership that’s lasting about three times longer than the standard fast channel out there. So all of this has allowed us with WatchFree+ to continue to grow active users, and continue to grow time spent, which is converting into increased monetization and now the number two ad supported app on our platform. The other key growth driver continues to be our home screen, we continue to do very well with the Media & Entertainment community, helping them grow awareness of new shows they have in the market, help them reduce churn on subscriptions, and continue to bring new partners into the fold through brand sponsorships, given the opportunity for customers like CPG or insurance companies to get access to our home screen in innovative ways. And I would say the last driver really is our off device. So household connect, we continue, I think, we mentioned grow at over 200%. We continue to be out there in the marketplace, evangelizing the strength of our data, and how those data – that data can help increase our TAM by expanding advertising opportunities for our customers off platform. In terms of new fronts, we got really good response from the advertising community, both brands and agencies from our new front. And I think, we were very successful piggybacking off last year’s new front to drive significant upfront commitments that we’re working through this year. And we’ve now started the negotiations with major holding companies, as well as larger brands to what we believe have a much larger upfront this year. So very well received.
Jason Kreyer: Sounds great. Thanks, Michael.
Michael Marks: Operator, we’ll take the next question.
Operator: Your next question comes from Steven Cahall of Wells Fargo. Steven, over to you.
Steven Cahall: Thanks. First one for me, the SmartCast conversion was a little weaker than last quarter. Based on what you said about being able to grow shipments for the rest of the year to above last year. And then just what you see on deactivations. I was wondering if you had any sense of how we could think about that ratio for the remainder of the year. Do you think you can get back to that kind of 50% that you ran at a little bit more historically? And then secondly, SmartCast hours, I think those were up rough kind of teens, but obviously ad revenue was up over a 100%, looks like it accelerated that just implies a lot of incremental ad monetization. So we’d love to just kind of help you frame up how you’re thinking about that. What are you doing to drive folks onto WatchFree, maybe what your content strategy is there any other color? Thank you.
Adam Townsend: Sure, Steve. It’s Adam. I’ll start with the first one and then turn it over to Mike for the second one. So, yes, on the conversion ratio, as I said last quarter, we think in a normalized environment that that metric is going to shake out between 40% and 50%. Now we’ve clearly not been in a normal environment for quite a while. There’s been ebbs and flows versus shipments versus sell through and those dynamics can play a role in that metric. In Q1, it was a period where we saw shipments out into the retail channels exceed sell through, and that was as we were trying to catch up and build up the channel inventory, so that we’d be in a strong position to deploy the pricing strategies that we’ve already talked about. And so as a result of that dynamic, you’re seeing the shipment number, which is what we disclose because it is what is tied to revenue recognition. But when shipments exceed sell through, it’s going to depress that metric from just a math standpoint. But over the course of the year, we’re still looking at being in that 40% to 50% range. At the end of the day, we grew our active accounts by a solid over 500,000, that’s pretty consistent with what we’ve seen over the last four quarters. And then Mike’s going to be able to monetize that on the platform side as we grow that base. So I think about it in that context.
Michael O’Donnell: Yes. And I think to answer your question around the ramp of ad monetization versus that growth. I think we just talked about the key growth drivers we had, but we still have a lot of runway. We’ve talked about this in the past, but we’re still just a little over two years into our ad monetization or driving our direct sales business. So we continue to close or drive relationships with brands and agencies in the marketplace. I think we expanded our direct advertising client base by 73%, increased average revenue for advertiser by over 70% – 76% versus last year. So we still have a long runway ahead of us to continue to grow and continue to build ARPU on the advertising side. So we’ll continue to take advantage of that. And then in terms of driving people into WatchFree+, look, we have multiple touchpoints to get our consumers into WatchFree+, whether that be the remote button, whether that be the app on the platform, different carousels that we incorporate within our platform. But the biggest driver continues to be the promotion. And we have an incredible UI for search and discovery when you get to the SmartCast home screen, we continue to utilize that inventory to drive our consumers into WatchFree+ and show them the great and high quality content we have available. So as we continue to support that, we believe we’ll continue to drive up WatchFree+ and ultimately continue to drive up the advertising monetization.
Steven Cahall: Thank you.
Michael Marks: Great. Thanks, Steven. Operator, we’ll take the next question.
Operator: Your next question comes from the line of Cory Carpenter from JPMorgan. Cory, please go ahead with your question.
Cory Carpenter: Great. Thank you. I had two, just first hoping to hear your thoughts on Netflix launching ad supported service. I’m curious how impactful you think that something like that could be for Vizio over time. And then secondly, I think this is the first call in a while, where we didn’t talk at length about the TV supply chain. So just hoping for an update there and how close you think we are back to a more normal environment. Thank you.
Michael O’Donnell: All right. I’ll take the Netflix question. I mean, look, I think Netflix, Disney, I think we’re pretty excited about them getting into the advertising space. As a whole, we think it’s really good for the entire connected TV ecosystem and very good for our ecosystem. The opportunity to bring an ad supported tier and we think will continue to help shift viewers into streaming and also help them reduce any churn they have on our platform. Those are good for us, because we’ve got economics with them and economics with those partners. We also – it’s good as more partners come into the streaming environment, where we still have more and more opportunities to monetize our home screen, more time spent on the home screen leads to more monetization. But I think from the advertising side, it’s going to be really good for the market. CTV right now is under bought compared to its reach and amount of time spent. And we believe this move will most likely accelerate the shift of linear dollars into connected TV. And for us, as more and more dollars shift into at a linear and into connected TV, WatchFree+ will benefit from that. We are effectively a next generation cable network and we should see good upside as more dollars are able to be brought out, pulled out a linear and into streaming. And then I think finally, it’s also good for us from a data standpoint, like William and I both touched on, we continue to build our relationships and partnerships and expand those with next generation currencies that are trying to solve the problem that has shift from linear to streaming. And we’ve got – we already had deals in place with seven out of the eight top partners, the high spot com scores, video amps, and more that are continuing to build out these solutions. And then we just brought on Nielsen this past quarter and our data’s powering or fueling the next generation of their products looking to help bring measurement and currencies to the connected TV space. So all in all very good for us across pretty much all our revenue streams.
William Wang: Yes. Regarding your question on supply chain on TV, the shutdown all the major study in China definitely brought a lot of challenges to the supply chain. However, we’ll have a great team. I want to thank our team for being well prepared for this particular shutdown and our supply chain at this time is pretty healthy for the short-term and near-term. And, again, I want to thank them because they were way ahead of the curve and they were well prepared. So our supply chain looks pretty good right now.
Adam Townsend: Operator, we’ll take the next question.
Operator: The next question comes from Nick Zangler of Stephens. Nick, over to you.
Nick Zangler: Hey guys. First off, I just think these results and the guidance here is phenomenal. So congrats there. But I got a few started with Inscape, obviously Nielsen expanding their partnership with Vizio in the quarter, gaining access to ACR data for use of local TV measurement, any way to sign – to size up how incremental this is. And do you see your other CTV measurement partners looking to gain access to this local data? Just like Nielsen is, I mean, obviously results here were very strong this quarter and it sounds like the growth trajectory here is inflecting. So maybe just also, if you could frame up how we should think about the segment going forward.
Adam Townsend: Yes. I think touching on the Nielsen, not necessarily getting to the specifics, but I think within that our ability to start to add incremental local stations, I think we talked about 400 into our fold. There is a window of exclusivity for Nielsen, which is good for our partnership and will help continue to build the marketplace, especially around local within cross screen measurement. Once that window of exclusivity is up, it’s good for our business, because it just continues to give us more opportunities to grow and sell against the new revenue stream within data.
William Wang: Yes, Nick, a way to think about these as well. These data contracts are multi-year contracts, so we have good visibility on what they look like and what the ramp looks like over time. So that helps us with predictability in that non-advertising revenue growth. And as we said, we do expect that to inflect this year. Remember last year we were in the middle of a little bit of a strategic pivot on how we handled our data, what we were willing to license to the marketplace. We’ve made that change. We’ve seen the benefits to our own advertising business as a result of that change. And now we’re in a position where the data that we are licensing the market is becoming increasingly valuable and we’re expanding the number of deals we’re doing with these players. We’re adding and expanding our relationship with the large people like Nielsen, as you mentioned, and with the multi-year structure, it gives us really good visibility. So, we do think we’re going to see a reacceleration of non-advertising revenue growth this year.
Nick Zangler: Got it. And just any learnings from the more aggressive pricing strategy that you guys employed in the first quarter? I mean, actually the gross margins on device are higher than I expected. So it almost suggests that you could press even harder, but maybe you could just level set on the expectations on pricing, how much more or less promotional and aggressive you’ll be as you push forward?
Adam Townsend: Well, I’d say the, the first learning is that when you give consumers a great product at an amazing price, they buy it. So, we saw great growth in that product. We talked about the gains and the 50-inch were fantastic. We specifically went after the 50-inch because it’s just such a great volume product and a highly engaged product, right? That is a screen size that does really well for us on our platform plus side. And so we are going to take those learnings and look at other skews that fit that paradigm and try to push in the market and see where we can be competitive. So, we’re very pleased with the immediate reaction consumers took to the strategy. We see the lift and market share. We see what it did for the whole product lineup. We’ll get surgical about what units make sense next, but by and large overall, we can continue to manage this at a – and as I said, requiring customers at a positive gross profit dollar on selling devices. So even if it’s a lower margin than had historically been, the strategy has proven itself and it feeds right into our dual revenue model.
Nick Zangler: Got it. And then just one final fun question for you guys. I’m still ordering my pizza through my phone. I’d love to order it through my TV. How far away are we from the introduction of more expansive e-commerce capabilities? Thanks.
William Wang: That’s a great question. I’ve been waiting for that day for 25 years. Since my first smart TV, I really thought we were going to make a lot of money in pizza. So, that day is just coming relatively soon, because it’s – we’re building the fundamental building blocks to make that happen. The building engine, the voice capability, the mobile experience, and Mike, you want to chime in a little bit more?
Michael O’Donnell: Yes, I think, I think we’ve touched on it in the past, but for us to get to the next phase of smart TVs, as we extend beyond entertainment for video, we’re excited about that. We’re obviously continue to hire and bring on people to start to think about the future of television, but at the start we need to lay that foundation, right? And for us, that foundation as William touched on is making sure it’s very easy to communicate with the television. So, we’ve made continued to make enhancements to our mobile offering. We’ve continued to add voice capabilities. We added voice to a majority of our televisions rolling out, or moving forward all new televisions that we bring into the marketplace, will be voice – will have voice capabilities. So, we’re excited about that. We needed to have the foundation of billing system and a wallet. We’re still on track with that to launch midsummer with that product. And I think the last foundational piece is around interactivity and notifications. And while we have that capability, I think, jump view, which we already touched on, is a good example of how we can continue to innovate around interactivity? How we can start to move consumers between HDMI inputs? And serve notifications in a different and unique way that really enhances the consumer experience. So, I think we’re in a good position from a foundational standpoint. And I think a lot of those opportunities are on the horizon.
Nick Zangler: Awesome. Thanks guys. Congrats and good luck.
Michael Marks: Thank you. Operator will take the next question.
Operator: Thank you. Your next question comes from Michael Morris of Guggenheim Partners. Michael, please go ahead.
Michael Morris: Thanks a lot. Good afternoon, everyone. I have two questions. My first one is about WatchFree+ and the competitive dynamic there. So it’s great to see the success of WatchFree+, but it does or can I guess come at the expense of some of your partners who by display advertising from you. So I’m just curious maybe for Mike O’Donnell just how you see that dynamic playing out, how you can win on the attention side of WatchFree+, but still be a valuable partner for other networks especially ad supported networks. Curious your thoughts there. And then the second thing, maybe bigger picture. One of the big complaints we hear is just that there’s so much content now, right? It’s hard to sort of organize and find what you want and feels like you guys continue to have an awesome sort of position to help people with that. So maybe some of that is a wallet, but I’m curious if there’s any more that you can share about the economic opportunity for you, for helping organize and prioritize the content that people want across a number of platforms they might subscribe to. Thanks.
Michael O’Donnell: Yes. So in terms of competitive growth, I think kind of going back to the question around Netflix and Disney, I think it really does validate that customers have an appetite for ad supported services, right? They also have an appetite for subscription services in the marketplace. Being a distribution platform with scale and scale that’s growing significantly, I think we’re well-positioned to service all that entire customer base. And I think there’s plenty of eyeballs as well as add dollars available to service, all the different partners on the platform. As I mentioned earlier, look, I – we think of WatchFree+, we continue to invest, we continue to support it, but we continue to generate revenue in a multitude of different ways across our platform. And it’s important for us to continue to help and support the partners on our platform because they are partners from us, not only from a consumer viewership standpoint, but also from a revenue standpoint. But we’re also going to continue to feed WatchFree+ where we can from an editorial standpoint on our home screen. And I mentioned earlier, we think of WatchFree+ as a next generation cable channel. And I think with that there’s opportunities as more and more dollar shift over for us to continue to grow at an accelerated pace WatchFree+ as well as the rest of the partners on the platform continue to grow their revenue and opportunities. And then the next question, Mike, sorry, the next question was around Search and Discovery, right?
Michael Morris: Its – exactly. The potential for value creation there totally.
Michael O’Donnell: Yes. Look, I think for us, we’re already – we continue to invest in refining Search and Discovery for our consumers. Our user interface, we continue to hear from customers as well as partners that it’s the best in the market for Search and Discovery. And I think as our partners continue to grow, as we bring more eyeballs to SmartCast and Time spent as well as active user grows, we think there’s going to be a lot of opportunities for us to continue to drive not only viewership or subscriptions for our partners, help them reduce churn, but also continue to increase monetization for our most monetizable opportunities, which includes WatchFree+.
Michael Marks: Operator, we’ll take the next question.
Operator: Your next question comes from the line of Tom Champion of Piper Sandler. Tom, please go ahead.
Tom Champion: Thanks a lot. Guys, I’m just looking at the smart TV shipments chart and the deck in two of the three years, it looks like 1Q is kind of the low watermark. And I don’t know if this was stated already, but I mean, is the implication there that you expect shipments to increase sequentially through the year. And I’m wondering if you could just talk a little bit about kind of your view of the economy, how you think the consumer is doing and maybe just the last one in terms of the promotions, how are competitors responding, any thoughts on that would be really helpful. Thank you.
Adam Townsend: Yes, sure, Tom. Look, there is some seasonality throughout the year, typically, Q4 is our biggest that’s obviously our big holiday sales period. Q1 usually does fairly well. Q2 can have a little change depending on if we’re in a reset period or we’re bringing back. So the comps over multiple periods is a little bit tricky. The comment we made was, we look back at last year and some of the availability constraints that we dealt with. We are confident that we’re going to be able to grow our shipments this year over last year, and that will – I don’t know if it’ll be exactly steadily up throughout every single quarter, but absolutely moving in that direction with a lot of strength because of the strong position we have right now with available product in the channels and the pricing strategies we’ve deployed, we feel good about both shipments and then obviously sell through and how that starts to feed into Active Account growth as I talked about earlier. So the comps start to get easier. As I mentioned in the prepared marks, we’re obviously lapping now on the period a year ago where there was availability supply constraints. There were – the country was reopening up. People were getting out and doing other things and so the dynamics were shifting. We’re now comping against that, which should be favorable for growth rates as you look at this year. And then from a – from a marketplace standpoint, look in an environment where there’s challenges, we know that consumers tend to gravitate towards value. Vizio has a long history of being a value brand. We’ve been in the marketplace a long time with that presence. Consumers will select quality at a great price and we think we have a very strong hand to play into that in this environment that you’re describing. So we’ll watch it like everybody else will. The backdrop is still strong from a labor standpoint. People are working. Obviously there’s inflation, so everyone’s going to figure out how to navigate these things, but having good strong channel inventory and attractively priced product at a great quality, we’ve got a good hand to play.
Michael Marks: Operator, we’ll take the next question.
Adam Townsend: Thanks Tom.
William Wang: Thanks Tom.
Operator: Your next question comes from Wamsi Mohan of Bank of America. Wamsi, please go ahead.
Wamsi Mohan: Yes. Thank you. On your guide for Platform+ revenues, I mean, if you look at 2Q guide, it’s about at the midpoint about $6 million incremental sequentially. And last year 1Q to 2Q you did roughly double that; why should you not be tracking a lot higher on a quarter-on-quarter basis given also some of the new initiatives you have?
Adam Townsend: Yes. Thanks Wamsi. I mean, look I think it still certainly reflects very strong year-over-year growth. We’re looking at the – we’re looking at the environment. This is also a period where we come off of sort of Q1 and in the new selling season, right. We have benefit from last year’s upfront, that rolls through and then now the new season will start when the fall launches come around and Mike can talk maybe a little bit more about what he mentioned in terms of the new fronts and so forth. But look, I think it still reflects very strong growth, which is what we want to show and demonstrate. We’re going to push the team. Obviously they continue to execute really well against that, and we’ll see – we’ll see where it comes out. But let’s not lose sight of the fact that we are now lapping [ph] on periods where the team was more established this time a year ago versus the earlier days where the comps were much, much easier. So keep that in context, but excellent growth if we can achieve that midpoint of the range.
Michael O’Donnell: Yes...
Wamsi Mohan: Thanks. Sorry go ahead Mike.
Michael O’Donnell: No, I was just going to add, I think from our perspective, I think again there’s good growth in Q2. As I mentioned before we still got a lot of opportunities to continue our growth trajectory that we’ve been on. I think what – what Adam was referencing is coming out of the new front as we get into the back half of this year we’ll start to kind of reset with the new upfront commitments that we’re negotiating now. We think that’s a good – good opportunity for growth. As the year moves on, we’re projecting some good impact from political in the back half of this year. So from our perspective, like I said we think good growth in Q2, still want opportunities, still time left in the second quarter. But I think we’re positioned well not only for Q2, but for the back half of this year as well.
Wamsi Mohan: No, thanks, I appreciate that. And then on your ARPU growth, can you give us any color on how much of that is sort of CPM growth driven versus growth in monetizable ad impressions?
William Wang: Yes. I would say both. I think the answer is both. I think if you’re looking at the growth we’ve had, and if you go back to when we launched this business two years ago, we were somewhere around, I think $7. We’ve more than tripled the ARPU [indiscernible]. So what – where we’ve seen growth has been in monetizable impressions. We continue to see an increase in that. I think I mentioned WatchFree+ is growing at a faster pace than overall time spent in our platform. That’s a positive for us. We also as we continue to solidify those relationships, we talked about average revenue for advertiser grown by over 76%. That’s a function of getting bigger deals, but that’s also a function of us continuing to leverage, to grow CPMs and continue to leverage the data we have our Inscape, ACR data to drive higher CPMs through addressable advertising.
Adam Townsend: Yes. Wamsi, I would just add, it’s a great point, Mike. And I would just add to that, the comments earlier, where we talked about the growth in WatchFree+ relative to other, content on the platform is really important to this because as we grow accounts where they spend their time is really, really critical. And to Mike’s point all the things we’re doing to drive people into WatchFree+ that disproportionally benefits us on the ARPU side because its putting more time spent in the highest and best place where we can monetize video inventory, which is WatchFree+. So those taking together is really driving, the ARPU higher even on, the size of the active account growth that you’ve seen.
Wamsi Mohan: Okay. Thanks, Adam. If I could just really quickly is the Netflix password sharing crackdown efforts converting into more time on WatchFree+, I mean you guys can probably tell that from your data that you see, what is – has that already happened or is that yet to happen or any color there please. Thank you.
Adam Townsend: Yes. Look, I don’t know if we can comment directly on that. I mean, the concept we wanted people to make sure they understand is that if people are moving around and there’s a saturation in certain services, obviously the availability of more content that’s ad supported is really great for us. And that behavior is shifting. We’ve seen that trend now for quite a while and that’s a positive for us. So when the marketplace reacts to declines in some of these very highly distributed, arguably, saturated services that doesn’t necessarily mean that consumers are not streaming. They’re streaming in different ways, sampling other content, we have all that content, it’s actually a good tailwind for us.
Wamsi Mohan: Okay. Thank you so much.
Michael Marks: Thanks, Wamsi. Operator, we have time for one more question.
Operator: Thank you. Your final question today comes from Vasily Karasyov of Cannonball Research. Vasily, please go ahead.
Vasily Karasyov: Thank you for squeezing me in. Good afternoon. I wanted to ask to talk about, gross margin associated with different revenue streams within Platform Plus, so that we could understand, what the incremental impact on gross profit is, for example, what kind of costs are recognized against video advertising revenue, home screen and so on. So even if you can talk about it, in terms of ranking them or something like that, to the extent you can? Thank you.
William Wang: Yes, let me get, I can take a shot at it. As you think about the various revenue sources, they – each have sort of somewhat different dynamics to them, right? So, I’d say our home screen is one of the very highest, very, very high. We own that inventory. There’s very little cost that go against that. So that’s a really tremendous and highly attractive inventory source for us, buttons on our remote control as you can imagine, don’t have much incremental cost to go against that. So those are high rev, high margin, and they are attached to obviously shipment volumes. Our data rev licensing revenue is probably maybe next on the chart. Because once the infrastructure’s in place, we put some analytics around it. We have some workflows that go against it to make it a good product, but in general, it’s a very high margin contributor. And then as you get into video, video is a mix of on platform and off platform. And those, as we’ve said, many times have very different characteristics, right on platform is going to have a higher margin, but a lot of our products are rev share structures. We’ve talked about our rev share dynamics before. And so that’s going to play a function, in terms of what the margin, uh, is for us on video side. And then off device is more of a arbitrage model where we go out and get inventory. And we resell that inventory. That’s going to come through at a lower margin profile. But what I like about that is that it gives us broader TAM beyond our install based on our TV. So we don’t have to think about just how do we monetize our, what’s in people’s homes on our, with our brand, but with the entire ecosystem more broadly, and those are going to be incremental dollars to our total system. So, that’s kind of the hierarchy as you think about it, and you can see how the various growth dynamics will play into the aggregate gross profit margin as we deliver going forward.
Vasily Karasyov: Well, this is very helpful. Thank you. Just quick follow up. So would it be correct info from what you say that, video advertising revenue, not every dollar has similar gross margin.
William Wang: That is true. It depends on where it’s occurring, on device, off device. And what the partnership, rev share mixes might look like. Yes.
Vasily Karasyov: Well, thank you so much. Have a good day.
William Wang: You too. Thanks for joining us.
Michael Marks: Thanks for listening and thanks everyone for joining. This concludes today’s call. Have a great evening.
Operator: Thank you everyone for joining. You may now disconnect.